Operator: Greetings, and welcome to the Drilling Tools International Corp. 2025 Year End and Fourth Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ken Dennard, investor relations. Thank you, sir. You may begin.
Ken Dennard: Thank you, operator, and good morning, everyone. We appreciate you joining us for Drilling Tools International Corp.'s 2025 Year End and Fourth Quarter Conference Call and Webcast. With me today are R. Wayne Prejean, Chief Executive Officer, and David R. Johnson, Chief Financial Officer. Following my remarks, management will provide a review of year-end fourth quarter results and 2026 outlook before opening the call for your questions. There will be a replay of today’s call that will be available via webcast on the company’s website that is drillingtools.com. There will also be a telephonic recorded replay available until March 13. Please note that any information reported on this call speaks only as of today, 03/06/2026, and, therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. Also, comments on this call will contain forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of Drilling Tools International Corp.’s management. However, various risks, uncertainties, and contingencies could cause actual results, performance, or achievements to differ materially from those expressed in the statements made by management. The listener or reader is encouraged to read the company’s Annual Report on Form 10-K, quarterly reports on Form 10-Q, and current reports on Form 8-K to understand certain of those risks, uncertainties, and contingencies. The comments today will also include certain non-GAAP financial measures including, but not limited to, adjusted EBITDA and adjusted free cash flow. The company provides these non-GAAP results for informational purposes, and they should not be considered in isolation from the most directly comparable GAAP measures. A discussion of why we believe these non-GAAP measures are useful to investors, certain limitations of using these measures, and reconciliations to the most directly comparable GAAP measures can be found in our earnings release and our filings with the SEC. And now with that housekeeping behind me, I would like to turn the call over to R. Wayne Prejean, Drilling Tools International Corp.’s Chief Executive Officer. Wayne?
R. Wayne Prejean: Thanks, Ken, and good morning, everyone. I will open with some comments on our full-year results, then hand the call over to David to review fourth quarter financials and our 2026 outlook. After that, I will wrap it up with a few additional thoughts before we open up for questions. We are pleased with our strong performance in the fourth quarter, which enabled us to finish the year on a positive note. These results demonstrate our ability to deliver consistent returns in the face of continued market softness. Despite global rig count declining 7% year over year, we were able to produce resilient results and generate significant free cash flow. In fact, Drilling Tools International Corp.’s annual adjusted free cash flow has grown each year since going public in 2023. This is an achievement we take great pride in and underscores our ability to operate efficiently, capitalize on opportunities in the market, and navigate the evolving energy landscape. Our 2025 results came in at or above the high end of our guidance ranges. We generated total rental revenues of $129,600,000 and total product sales revenues of $30,100,000, or $159,600,000 on a consolidated basis. Adjusted net income for 2025 was $3,400,000, and adjusted diluted EPS for 2025 was $0.10 per share. We generated 2025 adjusted EBITDA of $39,300,000 and adjusted free cash flow of $19,200,000. We completed our fourth acquisition in January 2025 since going public, and we were able to meaningfully reduce our net debt compared to the same period a year ago. This reflects our capital discipline and intentional focus on paying down debt. As the market softened throughout the year, we utilized our flexible CapEx model and pivoted to harvesting cash, which we then used to pay down over $11,000,000 of debt in 2025. We also returned a portion of our free cash flow to shareholders through our share buyback program. These actions reinforce our commitment to enhancing shareholder value and maintaining our solid financial position. Geographically, our Eastern Hemisphere operations experienced continued growth in 2025, and this expansion was a large contributor to the resilience of our results. Year over year, our Eastern Hemisphere revenue grew by 78% and contributed approximately 14% of our total revenue. The Eastern Hemisphere segment has continued to perform well, reflecting significant demand for our tools along with consistent execution and Drilling Tools International Corp.’s growing market presence. Western Hemisphere operations were impacted by soft North American drilling and completions activity in 2025 but managed to see only a low single-digit revenue decline when compared to 2024. As the situation evolves in the Middle East, we are focused on supporting our employees and clients. As of today, most all rigs are operating. Assuming this remains the same, we anticipate a positive baseline of activity with upside driven by oil capacity expansion and strategic gas development. This momentum sends an encouraging signal as we look to further expand our Eastern Hemisphere operations. Our strong alignment with local operators positions us well for continued expansion. And, again, assuming there are no major rig activity or infrastructure disruptions, we expect our customers to scale up their activities heading into 2026, and we expect growing market adoption of our tools to make us the service company of choice in the region. As evidence of the traction that our tools have gained in the Eastern Hemisphere today, our wellbore optimization product line offering continues to benefit from the significant increase in utilization of Drill-N-Ream tools and our ClearPath Stabilizer technology throughout the Eastern Hemisphere. We expect this constructive trend to continue as rig activity in Saudi Arabia stabilizes and selective programs are reactivated, creating incremental demand tailwinds for our Eastern Hemisphere segment. Over the past 24 months, we have completed several strategic acquisitions, and even as market conditions have tempered some of the near-term upside, we have remained focused on disciplined integration and realization of targeted synergies. This has allowed us to strengthen Drilling Tools International Corp.’s foundation and position the company for meaningful financial improvement as activity levels rebound. I am encouraged by our team’s ability to make the best out of a challenging environment, and I firmly believe that this will set us up for future success. David will now take you through our results in greater detail and introduce our 2026 outlook. David?
David R. Johnson: Thanks, Wayne. In yesterday’s earnings release, we provided detailed year-end and fourth quarter financial tables, so I will use this time to offer further insight into specific financial metrics. Wayne gave an overview of our full-year results in his opening comments, so I will provide some additional color on our fourth quarter results. However, just to echo Wayne’s comments from earlier, we are pleased to have achieved another record year for adjusted free cash flow. Even with the general industry and typical Q4 seasonal softness, we prioritized generating and preserving cash flow by managing cost and CapEx. We intend to maintain our capital discipline strategy in 2026 by driving operational efficiency across the business. As of 12/31/2025, we had $3,600,000 of cash and cash equivalents, net debt of $42,200,000, and a net leverage ratio of 1.1x, which is down slightly from 1.2x a year ago, despite taking on additional debt to fund the Titan Tools acquisition in 2025. Now turning to our fourth quarter results. We generated consolidated Q4 revenue of $38,500,000. Fourth quarter tool rental revenue was $30,400,000, and product sales revenue totaled $8,100,000. Net income attributable to stockholders for the fourth quarter was $1,200,000 or $0.03 per share. Q4 adjusted net income was $1,500,000 or adjusted diluted EPS of $0.04 per share. Fourth quarter adjusted EBITDA was $10,100,000, and adjusted free cash flow was $6,100,000. Our capital expenditures in the fourth quarter were $4,000,000. Looking at maintenance CapEx for the fourth quarter, it was approximately 10% of total revenue. And just as a reminder, our maintenance capital is primarily funded by tool recovery revenue, which keeps our rental tool fleet relevant and sustainable regardless of market trends. CapEx is just one component of our capital discipline strategy. We take a disciplined approach to all capital deployment, prioritizing opportunities that align with our capital allocation framework and support long-term value creation for shareholders. For example, we paid down $5,500,000 in debt in the fourth quarter and overall approximately $11,000,000 in 2025, bringing down our net debt to EBITDA leverage ratio to 1.1x. We have also been active in our share buyback in 2025, where we purchased approximately $660,000 of common shares averaging $2.17 per share. We remain focused on maintaining a strong financial position and will thoughtfully use our capital allocation levers as attractive opportunities arise. Looking at our geographic segment mix, we continue to benefit from our diversified geographic footprint and customer base, with 14% of our total Q4 revenue coming from our Eastern Hemisphere segment. This growth reinforces the effectiveness of our strategy and commitment to delivering consistent, high-quality performance across our global footprint, especially as we look ahead to a market rebound. As we disclosed in yesterday’s earnings release, and as Wayne alluded to earlier, we have released our 2026 full-year guidance ranges that reflect year-over-year growth at the midpoint. 2026 revenue is expected to be in the range of $155,000,000 to $170,000,000. Adjusted EBITDA is expected to be within the range of $35,000,000 to $45,000,000. Capital expenditures are expected to be between $818,000,000 and $23,000,000. And finally, we expect our 2026 adjusted free cash flow to range between $17,000,000 to $22,000,000. We have constructed these ranges with the assumption that activity will remain relatively flat in 2026 and improve slightly in the second half of the year. Regardless, we continue to believe that our established geographical footprint will provide a meaningful runway for growth as market momentum returns. That concludes my financial review and outlook section. I will now turn the call back over to Wayne for closing comments.
R. Wayne Prejean: Thank you, David. We continue to make substantial headway on our synergy program called OneDTI. We have been able to align our operating divisions into integrated systems and processes as well as onboard new business units into our Compass platform to manage assets and transactions from our customers. This represents an important milestone for the company’s growth potential, as it streamlines workflows, enhances accountability, and materially shortens the timeline for integrating future acquisitions into the Drilling Tools International Corp. platform. We also remain active in evaluating additional M&A opportunities that align with our strategic and financial objectives. As we continue to thoughtfully scale our current operations, we believe Drilling Tools International Corp. is the preferred provider for downhole tool rentals supporting wellbore construction and casing installation. Despite the near-term softness we expect to occur within the first half of the year, our outlook for 2026 reflects not only the solid foundation we have established, but also our forward-looking commitment to operational excellence and delivering consistent results. We believe there are several potential catalysts across multiple geographies that offer upside potential later in the year, including rig reactivations in Saudi Arabia, incremental tenders in the broader Middle East, and increased project activity in select international markets where we have recently expanded our presence, among others. These are not built into our guidance but may materialize into areas of outperformance. Looking forward, I am optimistic about the momentum we are building across the organization and the attractive opportunities we see on the horizon. The investments made to date are beginning to gain traction and are positioned to drive meaningful results. We are confident that elevated demand for complex wellbore solutions should further reinforce the need for our differentiated technology and the value-added solutions we deliver to customers around the world. Our ongoing focus on generating shareholder value is supported by the prospect of a more favorable market backdrop emerging later this year. Finally, I want to address the conflict in the Middle East as it pertains directly to Drilling Tools International Corp. As of yesterday, our Middle East personnel were all accounted for, have sheltered in place per local government requirements, and are maintaining continuity with customers’ needs and supporting our operations. We have experienced minimal disruption to our ongoing business thus far. We do not have any American expat employees in the conflict zone, but we do have numerous expat employees from other nationalities who are based in the Middle East. We are diligently monitoring the situation and have launched our crisis response plan, which is providing resources to support our team members in the area. We are conducting frequent meetings, obtaining regular operational updates, and are maintaining communications with our personnel in the region. I want to thank every member of the Drilling Tools International Corp. organization for their continued commitment to working in a safe, inspired, and productive manner, with special thanks to those personnel who are in the Middle East for their continued support of our operations. Our thoughts are with you every day. Our employees’ commitment has been essential in navigating a constantly evolving environment and essential to the success and future growth we are building together. With that, we will now take your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. Thank you. Our first question comes from the line of Stephen Michael Ferazani with Sidoti.
Stephen Michael Ferazani: Morning, everyone. Appreciate the detail and color on the call this morning. I also appreciate, Wayne, your message on Middle Eastern safety. I think that is certainly appreciated right now. Couple of really strong numbers that surprised me in the quarter. Wanted to get your thoughts and color around what drove it. First one, the big one was the EBITDA margin this quarter, highest in, it looks to us, like, in six quarters. Six quarters ago, the rig count was much better. What drove that really strong margin this quarter? You want to take that one, please?
David R. Johnson: Yes. I think it was just a combination of, you know, we did not see all the Q4 typical seasonal softness in some of our numbers. Then we were further benefiting from some of the cost reductions that we did earlier in the year. So, kind of the combination of that, we had, you know, our product mix was a little bit different. Yes, just an overall good quarter compared to the rest of the year.
Stephen Michael Ferazani: Anything specific one-quarter type mix here? Because your margin in the quarter was above the full-year guide for 2026 on the margin line.
David R. Johnson: Yes. I think mainly it was a product sale impact. We had some additional product sale that is in a little bit better margin profile, especially on the lost-in-hole DVR type sales. That is driving improved margins there. So it helps support the overall quarter. But, generally, it was steady state, good performance overall.
Stephen Michael Ferazani: Got it. And then all of your numbers came in at the, as you noted, very high end of your full-year ranges. The one that beat was adjusted free cash flow. It is a very strong free cash flow quarter. Anything driving that? And you put out really solid guidance for free cash flow again next year.
David R. Johnson: Yes, Steve, I think that is a good point. We are definitely seeing kind of that durable free cash flow generation since going public. That was kind of our stated goal, focusing on the M&A front for growth and really demonstrating that we can generate that free cash flow. But typically, and we will see it kind of every year, where a lot of our CapEx is front-loaded in the year. So as we kind of cycle through those first couple of quarters, then I think we saw our third quarter was stronger than the first and second quarter, and then our fourth quarter was even stronger on the free cash flow side for that reason.
Stephen Michael Ferazani: Got it. That is helpful. And speaking about free cash flow, your leverage now, I mean, you are barely above 1x. Great place to be. And if we are, theoretically, and I think you think that we are at a trough on your annual EBITDA or very close, by our model, your leverage goes under 1x next year. What is the thought here? What is M&A looking like? Are there opportunities? Would you still reduce debt further? Are you thinking about cash flow?
R. Wayne Prejean: Well, we have stated in previous quarters and on previous calls, we have a healthy pipeline of M&A opportunities that we are constantly evaluating, and we will continue to look at the most accretive, most attractive strategic opportunities that are out there. Our use of funds as they flow will be debt service, M&A, some buybacks, but mostly, throughout 2025, we focused on integration and gaining efficiencies from what we acquired. So right now, we are probably looking at a number of opportunities, and they ebb and flow as the market dictates, but there are definitely still opportunities on the horizon.
Stephen Michael Ferazani: Got it. That is helpful. And I saw, you know, just going through the new deck you put up, the guidance does show you expect Eastern Hemisphere share of revenue to be even higher next year if we have seen that steady growth. Can you talk about where the opportunities are in Eastern Hemisphere? Also particularly curious about your opportunities in APAC.
R. Wayne Prejean: So, throughout, as we have integrated all of the product lines and all the business units and aligned our management team and sales team, they are all firing on all cylinders and doing a great job. So we are getting lots of opportunities throughout Africa with various products. We are moving products around many of the countries in the Middle East, and, despite the ongoing conflict in the Middle East, we are able to continue maintaining our customer support. Surprisingly, most everyone is still in operation. You have probably heard different news reports of different things and facilities and refineries, but drilling operations are still commencing without major disruptions to our knowledge. Then we also have our Malaysian entity up and running with our Asia-Pac focus. So that is starting to gain traction, and we are distributing a lot of our new technologies, such as our Drill-N-Ream, our deep casing products, and our ClearPath product lines, which was an acquisition of the ED Projects Group a year ago. So all of those things are starting to get traction in the Middle East and Asia-Pac.
Stephen Michael Ferazani: Got it. That is helpful. What is implied in your guidance in terms of revenue per active rig in the U.S.? How are you thinking about that? I think a lot of us assume we are modeling in sort of a flat rig count January 1 to December 30. How are you thinking about that? Can you grow revenue per active rig in a flattish market?
R. Wayne Prejean: We see it as, we model it as, a steady state with opportunistic realities where some of our new technology gains traction. Those things are evolving in different markets. So we think our opportunity to overachieve is as those new technologies gain more traction, that is where we will see our opportunity to increase over and above where we are today. But mostly, the market is a steady state environment.
Stephen Michael Ferazani: Got it. That is helpful. Last one for me, and I know this is a totally unfair question, but I have to ask it anyway. In terms of, we are only a week in, but in terms of the Middle East developments we have seen so far, any thoughts? And we do not know how long or how this exactly plays out. How you are positioned one way or the other as this plays out, any thoughts? I know it is an unfair question.
R. Wayne Prejean: Well, I will start with, if you will notice, our revenues are about 14%, as we have stated in here, and we hope that they will grow, but they are only—and the Middle East is a part of that 14% of Eastern Hemisphere. So it is still a smaller part of our overall revenue and earnings stream, but it is emerging and growing. It could be—how it is going to be affected is unknown today. All we know today is that things are still operating. I do not think anyone is sure of exactly what the impact might be. We do not have a lot of personnel scattered throughout. We have some personnel that are scattered throughout different parts of that area, and they are all safe and accounted for today and operating. So we are able to move tools about. We are able to support our customers’ operations. They are asking for support. So despite the noise and everything that is going on and the unknowns, what we know today, it feels like it is minimally disruptive. And I do not mean that to minimize the conflict and the impact of it, but, from a business point of view, so far, our team has performed just fantastic. We are operating off our COVID-style playbook of how to do crisis management and deal with remoteness and things like that. So a lot of lessons learned from that experience on how to operate remotely with our clients and coordinate logistics and things like that. All of our team is working well in that regard.
Stephen Michael Ferazani: Got it. Okay. Thanks so much, Wayne. Appreciate it, David.
R. Wayne Prejean: Thank you. Thank you, Steve.
Operator: Our next question comes from the line of John Matthew Daniel with Daniel Energy Partners. Please proceed with your question.
John Matthew Daniel: Hey, guys. Thanks for having me. Just three quick ones for you. Assuming this is a safe one here, but the revenue guidance you provided for 2026, I am assuming that was all created pre-Iran. Is that fair?
David R. Johnson: Correct.
John Matthew Daniel: Okay. And then, good job on paying down the $11,000,000 in 2025. Do you have an established goal for 2026? I mean, look at the free cash flow guidance, which is, say, $20,000,000 at the midpoint. Roughly, what would you envision as being allocated to debt reduction versus buybacks?
R. Wayne Prejean: I think if you look at our historical paydown events, such as the one you just described, one could expect continued paydown, majority of the debt. Hopefully, we could probably accelerate that, but it will depend on the occurrences that are happening throughout the year. And as these events unfold, particularly the events in the Middle East, it will help us understand where we need to focus our efforts on investments. If the U.S. market picks up, we can dial that up. If we find that the conflict is less impactful and it returns to more normal, we can dial that up, and so on. So, as other parts of the world, the good news is we are spread out throughout and now established with infrastructure and capabilities in many parts of the world. We have a lot more diversification in how we can deploy our capital in meaningful ways across different geomarkets depending on where the needs are and the adjustments are made.
John Matthew Daniel: Last one, and, again, recognizing we are like five days into this thing or whatever. But, yes, there is a little bit of turmoil, right? Just look at crude prices, market concerns, etcetera.
R. Wayne Prejean: Sure.
John Matthew Daniel: Wayne, the question would be, in a weird way, does this get you excited that there are going to be great opportunities to capitalize on the turmoil, or do you go more defensive? How do you think about just running the business the next few quarters as this is all playing out?
R. Wayne Prejean: Well, John, it is a very dynamic and fluid situation because there are so many unknowns of how things will be impacted. Speculation is dangerous on my part, but we kind of feel like we are in a position to deal with the situation in multiple areas, as I just stated. So I think we are flexible with regard to the opportunity that may present itself as a result of this conflict. And when I mean that, I do not mean to diminish the impact of a war, but oil is a dynamic commodity. And so if there is a major supply disruption, someone else will fill that gap, and we are prepared to participate in where that activity may be. Our fleet is relevant and sustainable. We have the diverse geomarket exposure now with different technologies. So we are in a good position to deal with how this dynamically unfolds.
John Matthew Daniel: Okay. Last one. I lied. I told you there were three; there are four. Just looking at the chart here at WTI, $88 right now. Brent, better. I mean, there has been a lot of pricing pressure for the service industry the last couple of years. I mean, things have changed. How do you even start thinking about how you are going to start your customer discussions given the backdrop where we are?
R. Wayne Prejean: Sure. I mean, particularly in North America, there has been a meandering rig count, mostly meandering downward with capital discipline and the need for improved earnings. But our business has what we call a ceiling and a floor on pricing and how we participate in the market and how we provide our customers value. If the price is too low, no one will invest in it. If the price is too high, everybody will invest in it. So we feel like we are very efficient in the middle to upper tier of that range, participating with our clients. Now, how do we get OFS pricing up? I think it is just a matter of time, in my opinion, that people are going to have to reinvest in equipment, and that will drive the pushback on pricing reductions and get to a more neutral state and maybe upward in the future. And, of course, an activity increase will immediately create probably a stress point in the supply chain throughout the industry. I think we can all make that calculation.
John Matthew Daniel: Thanks for having me, guys. Have a great weekend.
R. Wayne Prejean: Thanks, John.
Operator: We have reached the end of the question-and-answer session. Mr. Prejean, I would like to turn the floor back over to you for closing comments.
R. Wayne Prejean: So, thank you, everyone. We had a good quarter and a good year, and we have a pretty positive outlook throughout 2026. But there are some challenges ahead of us, the conflict notwithstanding. We are prepared from a company point of view and our employee point of view, and we have a great customer base and good geographic diversity. We are executing well in all those markets. Thank you for your interest in Drilling Tools International Corp. We appreciate your time on the call.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time, and have a wonderful day.